Operator: Good day, and thank you for standing by. Welcome to the Third fiscal '24 Earnings Discussion. At this time, all participants are in a listen-only mode. After the speakers' presentation, there will be a question-and-answer session. [Operator Instructions] Please be advised that today's conference is being recorded. I would now like to hand the conference over to your speakers today, Dan Jaffee, President and CEO. Please go ahead.
Dan Jaffee: Great. Thank you, and welcome, everybody. With me today in a variety of different places to the miracle of modern science, we have Susan Kreh, CFO and CIO; Aaron Christiansen, VP of Operations; Wade Robey, VP of Ag and President of Amlan International; Chris Lamson, Group VP of Retail and Wholesale; Laura Scheland, Chief Legal Officer and Vice President and General Manager of the Consumer Products Division; Bruce Patsey, VP of our Fluids Purification Group; and Leslie Garber, Director of Investor Relations, and she will walk us through the Safe Harbor provision.
Leslie Garber: Thank you, Dan. Welcome, everyone. On today's call, comments may contain forward-looking statements regarding the company's performance in future periods. Actual results in those periods may materially differ. In our press release and in our SEC filings, we highlight a number of important risk factors, trends and uncertainties that may affect our future performance. We ask that you review and consider those factors in evaluating the company's comments and in evaluating any investment in Oil-Dri stock. Before we begin, I'd like to note that we posted two slides on our website that can be found on both the investor landing page as well as under our Events tab for this webcast. We will be referring to these slides during the call, so please pull them up on your screens. Now, I'll turn the call back to Dan.
Dan Jaffee: Okay. Great. Thank you, Leslie. Before I turn it over, I would like to have some general remarks. First of all, we're going to be here for 45 minutes today, which is a -- allow us to cover our acquisition in detail. So, Chris Lamson will walk us through that after Susan walks us through some highlighted financial results, and then we'll have the full Q&A like we always do. So, that's fantastic. I want to highlight one thing because I don't want to steal Susan's thunder, but we have made $30.901 million in net income through nine months, which is more than any fiscal year we've ever had in our 84-year history. And last year was an all-time record of $20.551 million and that was for all 12 months. So, we're 4.5% ahead of last year and we're playing with the house's money in the fourth quarter. So, the team has continued to do a fantastic job of creating value from sorbent minerals. We want to thank our customers who allow us to provide that value to them. And, obviously, those strategies are working. And what you'll see is that our legacy business is really carrying the day and, our focus on animal health, our commitment has never been stronger. We're completely committed to the business. It takes a while to get it up and running. And while we are confident we'll finish ahead of last year, we're still not seeing the year-over-year growth that we know will hit once that snowball starts rolling, but we're also making advances. So, still very confident in animal health. Susan, at this point, I'd like to turn it over to you to walk us through the financial results.
Susan Kreh: Thank you, Dan, and good morning, everyone. It's really exciting to be here today and to share with you some of the details of our strategic acquisition of the Ultra Pet business. On several of our previous investor calls, we've been asked about our appetite for acquisitions, and we've consistently stated that we're financially prepared to execute an acquisition that is aligned with our core strategies. On an ongoing basis, we've been monitoring the market and assessing various acquisition opportunities as they've become available. And in the case of Ultra Pet, strategic alignment and the value of the acquisition vis-a-vis the price we paid made this business very interesting to Oil-Dri. I'll touch more on the Ultra Pet acquisition in a few minutes, but first, I will highlight a couple of brief financial points from our fiscal third quarter, knowing that most of you have read our press release. If you do have any questions on our reported results following my comments, please feel free to ask them during our question-and-answer session that will follow Chris Lamson's remarks. For our fiscal third quarter, consolidated net sales reached $106.8 million, a 1% increase over the prior year, making this the 12th consecutive quarter of year-over-year sales growth. Higher prices and improved product mix were partially offset by lower volumes. In prior calls, Dan has discussed our focus on producing and selling higher-value products, such as renewable diesel products, under the initiative that we refer to internally as [Miningball] (ph), or our mining company version of Moneyball. Our fiscal third quarter benefited from this ongoing focus as we experienced elevated sales of higher-value fluids purification and cat litter products, including co-packaged items. The third quarter of fiscal 2024 consolidated gross profit was $30.1 million, a 10% increase over the prior year. Gross margins expanded to 28% in the third quarter of fiscal 2024 from 26% during the same quarter in the prior year. The increase was driven by the higher selling prices I mentioned a minute ago across multiple products as well as improved product mix. During the three months ended April 30, domestic cost of goods sold per ton increased by 3%, and those cost increases were driven by labor, repair costs, depreciation and freight costs compared to the prior year. Lower packaging and natural gas costs partially offset cost increases in the former categories. Selling, general and administrative expenses during the quarter were $19.7 million compared to $13 million during the first -- third quarter last year. This $6.7 million increase reflects an increase in compensation, in advertising expenses, as well as includes transaction costs related to our acquisition of Ultra Pet Company, Inc. The higher compensation costs were driven by increased performance-based incentives as well as a few key planned headcount additions. Advertising expenses were significantly higher in the third quarter compared to the same period last year, as the majority of the prior-year's expenditures took place during the fourth quarter. So that's a timing issue. Oil-Dri does expect advertising costs for the full year of fiscal 2024 to be higher than fiscal year 2023. Additional expenses related to the integration of Ultra Pet are expected to be incurred during the fourth quarter of fiscal 2024 and then taper off as we enter fiscal 2025. Now, let's hit a couple of points related to cash. Year-over-year cash and cash equivalents are up substantially from $29.7 million at the end of the third fiscal quarter of 2023 to $46.8 million at the end of the third fiscal quarter of 2024. Of that $17 million increase, $10 million relates to the issuance of notes payable that were issued to support the funding for the Ultra Pet acquisition, and I'll cover more details on that in a moment when I talk about acquisition financing. As we've discussed on previous calls, we continue to invest in our manufacturing facilities to replace our aged infrastructure in order to provide reliable capabilities to service our customers. We see the tangible benefits of this investment and of our targeted inventory build and our historically high service levels to our customers. Year-to-date, we invested $24 million -- that's $24 million in capital expenditures compared to $17 million in the prior year, ensuring modern and reliable production capabilities and supporting our growth, and those remain key goals for our capital allocation. If I shift gears to the acquisition of Ultra Pet. On May 1, 2024, Oil-Dri successfully completed the $46 million acquisition of privately-held Ultra Pet Company, Inc., a prominent supplier of silica gel-based crystal cat litter based in Anderson, South Carolina. This acquisition occurred during our fiscal fourth quarter. The structure of the deal was a stock purchase with Oil-Dri acquiring all of the issued and outstanding shares of the capital stock of Ultra Pet. The purchase was financed with a combination of $26 million of cash on hand, the issuance of $10 million in aggregate principal amount of notes that actually occurred during the third quarter and a $10 million advance under our existing credit agreement, which occurred during the fourth quarter. So, we crossed quarters with the financing of this acquisition. At closing, Ultra Pet will become became a wholly-owned subsidiary of [Ultra-Dri] (ph). This acquisition strengthens Oil-Dri's position as one of the largest cat litter producers in North America and helps to fast-track entry into the rapidly growing crystal litter segment. We anticipate that the Ultra Pet acquisition will be accretive from day one, inclusive of transaction costs. Included in our third quarter results were transaction-related costs of $900,000. We anticipate a similar level of costs during the fourth quarter and then a significant tapering off of these costs as we enter fiscal 2025. From a timing and detailed standpoint, we issued the notes that I mentioned earlier, Series D senior notes at 6.47% for $10 million, pursuant to shelf-facility provisions of our note agreement with Prudential Affiliates. These notes that were issued on April 30, 2024, at a fixed rate financing are payable in two tranches of $5 million each in 2032 and 2033. Then, the following day, we drew $10 million on our $45 million revolving credit facility with BMO Bank. This is the only draw on this credit facility at this point in time, leaving us ample flexible financing capacity. This $10 million draw occurred subsequent to our fiscal third quarter and will be in our financials when we file our fourth quarter results in October of this year. Our draw with BMO is subject to a variable adjusted SOFR-based rate plus a margin that varies depending on our debt to earnings ratio. So, to provide some transparency, as of April 30, 2024, the variable rate would have been 5.33% for the adjusted SOFR-based rate. Our credit agreements, both the one with Prudential and its affiliates BMO Harris Bank, contain two financial covenants, which are the same aligned across both agreements. Following the draws to finance the Ultra Pet acquisition, not only are we fully in compliance with these covenants, but we have significant financing capacity remaining based on our current financial situation and the calculation of the covenants. Just a couple of other wrap-up comments on cash. On an ongoing operational basis, we target cash on hand needs in the range of $10 million to $15 million. With the $10 million draw on our $45 million revolving credit facility, we have more than ample access to cash to fund our ongoing operations if we were to need it. The key thing I would like listeners to take away is that following the acquisition of Ultra Pet, Oil-Dri remains well positioned to invest in growth opportunities. And as for our cash priorities, they continue to be investing and reinvesting in our business with a focus on future growth opportunities, while maintaining our existing asset base. They include supporting our dividend, which we have increased for the 21 years straight and maintaining enough financial strength to support strategic M&A, which I just outlined, we've still got plenty of financial capacity as additional targets were to become available. Finally, we opportunistically occasionally repurchase shares of our stock. Year-to-date, though, the only share repurchases that we have made have been to repurchase shares returned by our teammates to pay taxes under our restricted shares program. We have not repurchased any shares in the open market. So with that, I'll turn this conversation over to Chris Lamson to discuss our acquisition of our Ultra Pet business.
Chris Lamson: Thanks, Susan, and good morning, everybody. I'd like to spend some time discussing Ultra Pet as Susan just did more from a financial perspective, we'll shift gears to more of an operational perspective. We've received really through Leslie a good amount of questions regarding the transaction. So, my comments are really based on weaving the answers to your questions through the comments as I proceed. We posted two slides on our Oil-Dri Investor website under the Events tab. In a few minutes, I'll actually be referring to those slides, just really two slides. So, take a look, pull them up if you can, and it'll help the story come to life a bit. Let me first tell you a little bit more about Ultra Pet. They're a small privately-held company located in Anderson, South Carolina, actually not far from Clemson, and we have new -- 18 new teammates down there. Ultra Pet is a prominent supplier of silica gel-based cat litter with net sales of approximately $24 million. Some of you have asked about Ultra Pet's EBITDA. But as you know, we really don't disclose operating earnings at a principal product level. So, we won't be disclosing that number as it will really be a principal product level under our consumables cat litter division. For some background, Ultra Pet was a pioneer in the alternative cat litter market and really the pioneer of the crystal cat litter market with their Litter Pearls brand, which they introduced in the US all the way back in 1998. So, already a strong similarity to Oil-Dri, who innovated the lightweight category some 10, 12 years later. Ultra Pet has expanded its product portfolio to include additional brands such as Ultra Pearls, Neon Litter, which is kind of fun, as well as many private label cat litter products focused, of course, on crystals. While they do sell a few related accessories such as cat toys and cat -- or pet bowls rather, we made the decision to exclude those durable items from the purchase. There are a few alternative litter items that Ultra sells that we will assess over the next year to ensure that we can compete and win in those smaller segments. Ultra Pet sells to customers both domestically and internationally, through e-commerce, pet specialty and grocery brick-and-mortar retail stores. Like other silica gel cat litters sold in the US, Ultra Pet's crystal litter is currently manufactured in China by a couple of strategic suppliers. These suppliers, I've visited them, are really well end-to-end integrated, extremely well capitalized, and really they operate very impressive supply chains and have been solid, long-term partners of Ultra Pet. The Ultra Pet teammates are particularly skilled and have strong knowledge of sourcing from overseas, and will obviously partner with the Oil-Dri team to develop options that mitigate geopolitical risk going forward. Since these products are co-manufactured in China, we did not acquire any significant hard assets with the deal. We pursued this acquisition -- and I'm about to get to those slides by the way. We pursued this acquisition really for two key reasons. First, as an entry into the rapidly growing crystal cat litter segment of the market, and second, for really its extraordinary strategic fit, and I might add cultural fit as well, with the Oil-Dri litter business and really the Oil-Dri company overall. So first, let's discuss how the acquisition allowed us to enter and really fast-track our ability to get into the crystal litter segment. Please refer to the first slide of that two-slide deck that I mentioned. As you can see, the crystal cat litter market has and is continuing to experience tremendous growth. Segment sales have increased 5 times over the last five years, pretty easy math, about $60 million up to about $300 million in the segment. And while I can't share specifics on Ultra Pet's historic sales, I can tell you that their revenue growth has been extraordinary over this timeframe as well. The crystal segment has increased more than any other segment within cat litter in terms of the percentage change and share and led share gains for five years in a row. In addition, the crystal form has accounted for over 23% of all the growth in the cat litter segment over the last five years. From a volume perspective, crystals have accounted for approximately one-third of total cat litter gains. And you can see on the chart, the five-year CAGR at 25% compares really favorably to all other alternative cat litters such as, say, what are positioned as natural, but really more renewable natural litters. So, by far, the biggest grower within the alternative space, we think a lot of that has to do with the extraordinary efficacy of the product. Going back to the charts on the slide, in the past 52 weeks, crystal volumes have grown over 18%, which is well ahead, about 8 times ahead of all the other litter segments. So, you can see fantastic growth story and fantastic momentum. You may be thinking that if crystal litter has grown so much over the last few years, it must be taking share away from clay cat litter products. So, what about our base? And of course, in this deal, it's very important to continue to pay attention to our base business. So, while these dynamics mathematically true, it is taking share from clay. Clay is still driving more than 60% of the strong category growth in the category. The litter -- said differently -- the litter category is really strong enough to keep its base growing even as new forms come in and take some market share. Now when compared to heavyweight scoopable [indiscernible] litters, both crystal and lightweight, looked at over a period of time when we've shared this in our Digital Investor Day every year, lightweights outpacing those segments within clay, and now we're in the fastest-growing overall segment. So really, if you pull back and think about it, both lightweight and crystals are the two most growing segments, A, and overall litter in crystals and lightweight is the most fastest growing within clay. So, we love the fact that we have a strong market position in the fastest-growing segment of the overall litter category. I'd add that really both lightweight crystals do what I found in consumer goods, sustainable long-term innovations do. They drive value that consumers are willing to pay for at a premium cost per use, which is really good for the category expansion and particularly good for our retail partners. Now, I'd like to focus on how crystal litter fits into our current strategy, and to answer that, I'll be referring to the second slide in the presentation. A big part of the acquisition is Ultra Pet fits with our existing litter business and strategy, really is we believe there's extraordinary value in lightweight litter products. Crystals are light. In fact, they're about 40% lighter than our lightweight clay litters and a fraction as heavy as the heavyweight guys, yet with extraordinary efficacy, particularly around odor control. Given this very light density, consumers get more uses per weight. This focus on lightweight, as you know, and we've been talking about is the absolute bull's eye of our consumer messaging for our existing clay products. So, it's quite easy to see how that great efficacy and lightweight message that we're driving really fit with crystals right into our existing consumer messaging. Another commonality between the companies is our plan to really grow the e-comm channel and grow with the e-comm channel. Both Oil-Dri lightweight and Ultra products are e-comm friendly. In general, that lighter density -- and really, this is true of all retailers, that lightweight density of both lightweight clay litter and crystals products, make it possible to transport nearly 2 times as many units on every truck going to our retailers, that less weight on the truck and fewer trucks on the road means greater fuel efficiency and reduced emissions, of course. For e-commerce, this benefits that not much more poignant, as those costs extends all the way down to the shoppers' front door. So, huge benefit for e-comm customers both the lightweight business and the crystals business. Further, the higher cost per use and higher unit price allows e-comm retailers to effectively spread their costs of picking, packing and shipping over a higher per sales unit price. Part of our combined strategy is to grow via both branded and private label product offerings. We'll use our marketing expertise to elevate Ultra Pet's branded items as we do with our own branded clay products, and remember, they share those common consumer benefits, lightweight and strong efficacy. We'll fuel the Ultra Pet brand where it's strong and at some point in the very near future, will launch a crystal litter under the Cat's Pride brand name. As many of you know, Oil-Dri has a very strong presence in the private label lightweight market. We feel that customers will be eager to add crystal litter to their private label lightweight -- private label portfolios. With that said, the economics of bringing private label items in via long Asia supply chain does look different than our short lead time vertical and integrated clay supply chain. So, with that in mind, know that our private label offering will, first, be premium, and second, of course, be based on sound economics. Value-based pricing is important to us and Ultra Pet, much like Cat's Pride, is, in fact, value-based. Ultra Pet crystals are positioned as a price value-friendly option to the national brands, while delivering outstanding performance, again, just like our Cat's Pride business. As we grow our business, we will continue to innovate as part of our strategy for growth. Both Oil-Dri and Ultra Pet, as I mentioned earlier, have proven track records of disrupting the industry with new products. Both companies have created new segments, which I think is pretty cool. Currently, we plan to leverage our strong relationships with existing customers to grow the Ultra Pet business. We have years of experience working with mass merchandisers and grocery retailers, of course. And in the last few years, you've seen us expand into growing distribution channels of e-commerce, dollar, farm and fleet and drug. There's been crossover between our customer base, but there's immense potential for us to expand Ultra Pet's list of customers. Upon the announcement of the acquisition, the Oil-Dri sales team immediately started working with the Ultra Pet team to close some sales opportunities. We were really in line review season. And we have a few wins already forthcoming with some midsize and -- but a very important grocery accounts. With the acquisition at one, what I'll call, super regional grocery chain, the combined Oil-Dri and Ultra Pet businesses make up their largest cat litter vendor as tracked in retail sales by Nielsen. As you can imagine, I'm pointing this account out to the rest of our sales teams as really a rallying cry for what we can -- for the growth that lies ahead of us. Finally, with the announcement of few key national customers, of course, we were going to reach out to them, but before we could even reach out to them, reached out to us proactively, scheduled meetings to discuss opportunities that come along with our expanded portfolio into crystals. While we entered the acquisition with a primary focus on growth, we do see some synergies that should benefit both us and our customers. We see opportunity to [colo] (ph) products to common customers, which should drive efficiency and further reduce truckloads, especially important in this freight-intensive category. We also expect to leverage selling and marketing expenses. However, I do want to emphasize it's really this growth opportunity that we see with the category and -- combining the category and our strong presence and penetration with retailers and that brand fit that will drive the majority of the value of the deal. I hope that I provided answers to your questions that you were looking for. I think we've done everything that we've been asked to date, but certainly, if you have additional questions, we'll now open the floor up to Q&A and you can add them into the online console.
A - Leslie Garber: Great. Thank you, Chris. Yes. And please submit your questions using the Ask a Question field on the webcast and click Submit. We have a few in the queue right now. So, I'm going to read them off. The first question comes from [Ethan Starr] (ph), individual investor. He asks, "Given the inflation of the last couple of years, is there any evidence that more consumers are switching to private label cat litter?" Chris, can you answer that, please?
Chris Lamson: Yeah. Really, it's a good short answer, Ethan. The answer is, yes. The private label is showing across the litter category, the greatest share gains of any other manufacturer.
Leslie Garber: Okay. Great. The next question comes from John Bair from Ascend Wealth Advisors. And he asks, "Are you experiencing any headwinds of sales or adoption of your animal health products due to the ongoing outbreaks of avian flu domestically or elsewhere?" Wade, can you answer that, please?
Wade Robey: Yes. Thank you, Leslie, and thank you, John. Excellent question, and it's not just been avian influenza, but also African swine fever as well, which has predominantly impacted the swine markets globally. Neither one of those conditions are ones that our products specifically would address in the case of AI specifically, which I know was part of your question, that is actually what is called a Type A virus, which -- there really is no treatment for other than depopulation. So, in terms of product adoption, no, other than our products generally improve the productivity of animals and improve bottom-line performance. So, a side opportunity, but really not direct. In terms of headwinds of sales, it has made it a little more difficult to visit customer locations, customer farms. Biosecurity is obviously very important in the animal production industry. And with outbreaks like AI, which domestically have caused already depopulation of about 96 million birds, it does restrict our access sometimes to company farms. And so that makes the sales cycle sometimes more challenging, but we've been able to overcome that by calling on customers in different ways.
Leslie Garber: Great. Thank you. We have another question from Ethan Starr. He asks, "Do you see continued growth for your products in the renewable diesel market." Bruce?
Bruce Patsey: Yes, there's going to be continued growth in this marketplace. There are several plants being built right now. And we expect over the next two to four years, new plants coming in that will drive sales of our bleaching clay products. So, we're excited about the new industry and it should help drive growth in our business.
Leslie Garber: Great. Thank you. Next question again is from John Bair. How did the Ultra Pet deal unfold? What was the catalyst for them to join the Oil-Dri family versus any of your larger competitors? Chris, can you answer that, please?
Chris Lamson: Yeah, you bet. John, I'm actually really excited you asked the question because I think it's a good story for us to tell. First, I'll go back to our thought processes. We obviously have various management routines, but once a year, Dan gets us together off-site for some strategic planning and I'll give Susan props. We're looking at market data and obviously, our largest category in which we compete across the company, which is cat litter. And Susan was really pressing the issue of, "Hey, how do we get into this segment?" So, really, we did some work around how could we enter either on our own or via acquisition. And candidly, we identified Ultra Pet as an acquisition of Ultra Pet is probably the best way to do that. Ironically and kind of a crazy maybe it was meant to be, within a week, we actually got their book. So, they were -- they had put themselves on the market for sale. On the softer side, which may have been what you're -- so proud that our strategic planning process generates those conversations and gets us thinking, and proud of Susan's push. Then, on the softer side, and now that they're our teammates, we've had some more candid conversations around how things transpired on their end. And I'd say the insight is we actually weren't necessarily the highest payer that have presented themselves. But we really spend a lot of time in our LOIs and our management meetings talking about culture, expressing how they would fit in and how we will grow the business together. And they would tell you that, that's what pushed us to the top of the list. And particularly that cultural overlap and symbiotic cultures as Dan has talked about a few times with them, certainly, is playing out. So, proud of the way we -- I think Oil-Dri value shines through. They appreciated them, saw the fit and we rose on top of the list.
Leslie Garber: Great. Thank you. The next question is from Ethan Starr. What progress is Amlan making? How are trials of Amlan products with potential customers going? Wade, I'm going to turn that one over to you.
Wade Robey: Yeah. Thanks, Leslie. Thanks again, Ethan, for that question. I would say even though we've had kind of challenging markets in ag over the last 12 months, certainly, we've not seen that slow down interest of customers in our products, especially the new products that we're bringing out like Phylox internationally, Amsure, and NeutraPath as well. We have trials going on currently in all world areas. And each time we've entered trials with customers we've seen good positive response. It's what's part of what is the longer sales cycle in animal health. It takes customers' use of the products in the field, generally to get to adoption and then commercial activity. And we're excited that those have been continuing with high degree of customer interest.
Leslie Garber: Great. Thank you. The next question is from John Bair. Are there other crystal litter manufacturers or larger competitors developing this type of product? Chris?
Chris Lamson: Yeah. Thanks, again, John. So, Clorox with their Fresh Step brand has actually been in crystal litter, I will give you a kind of a rough number, for over a decade. And give or take, a few years if you don't mind there. Pretty Litter, which was an independent company that really started with an online direct-to-consumer subscription model really candidly lit the segment on fire, I think with a lot of digital consumer interaction with a big push starting about four of five years ago, and a lot of that growth you see reflected was really what they lit. And with that growth, Ralston with the Tidy Cat brand has also entered the segment, much like the lightweight segment. Candidly, we want to see that growth. And our unique positioning is a fantastic price value with great efficacy in the segment, both from a branded perspective and a private label perspective, which is aligned with Cat's Pride. So, we like the big guys playing. The big guys are playing and helping fuel the growth of the segment.
Leslie Garber: Great. Our next question is from [Sean McMahon] (ph). Can management please discuss the cash flow ROI or ROIC expected from the recent acquisition? If not, how should we evaluate if this acquisition is successful if we won't provide the EBITDA estimates? What was the hurdle rate return expectation IRR for this deal? Susan, can you comment on that?
Dan Jaffee: Actually, Leslie, I think I'm going to take this. But Susan has teed me up with some of the details. So, yeah, our weighted average cost of capital is just under 9%. It's more of an opinion than a fact, but that's basically the number. And what we always target is an IRR in excess of 15% when we make a major capital investment. And this one meets that criteria. The good news is that I would say there were very few cost synergies put in the model. And really, what we expect is to have 1 plus 1 equal 3 on the market side. And we are seeing that already. We're seeing a lot of positive responses from our existing customer base, one in crystals. And so, I think the combination of Ultra Pet and Cat's Pride has been pretty powerful that they know the supply chain very well. They've got some very established customers and brands out there but they had some holes in their distribution network and kind of where they're weak, we are strong. And so together, it should work pretty well, and very well actually, but I always have to caution due to the safe harbor. But I would say, if anything, we are more pleased than we thought it would be from a market receptivity.
Leslie Garber: Great. Thank you. The next question is from Ethan Starr. How much goodwill or intangibles were added to the Oil-Dri balance sheet with the Ultra Pet acquisition?
Susan Kreh: So, Leslie, you want me to take that one, right?
Leslie Garber: Yeah. Sorry. Can you take that?
Susan Kreh: Absolutely. Thanks, Ethan, for your question. Well, we just acquired it this quarter. So, we will go through the process -- we have gone through the process of the acquisition accounting. We've engaged a third party to do the valuations for us. But as an asset-intensive business, is probably why you're asking the question, Ethan, we expect a good amount of this purchase price to be goodwill. But until we go through the valuations, I'm not really comfortable giving a definitive number. So, we can update more on where we are in that process when we have our call, our next call in October.
Leslie Garber: Great. Thanks, Susan. Next question is from Sean McMahon. How much of management's bonuses could be based on meeting Ultra Pet's financial expectations? Dan, I'll have you answer that one?
Dan Jaffee: Sure, Sean. Thank you. Good question. And for fiscal '23, with Gen 731, I would say none whatsoever that we are tracking against our original plan. And while this one is immediately accretive, the team won't really get benefit from it this year. We're keeping it out. But it will be fully in the F '24 bonus and budget would start a one. And with all of the expected synergies moment minor on the cost side, the major on the market side, all in the planning numbers. And so we will have to meet or exceed those in order to achieve a good bonus in fiscal '24. And we're feeling confident about it, but we will hold ourselves accountable as will the compensation committee of the Board of Directors for sure.
Leslie Garber: Okay. So, there are no other questions in the queue. So, we do have just a few minutes left. If anyone would like to submit any additional questions via the webcast portal, please do so. And we'll wait about a minute or so. And if not, we'll conclude the call. Okay. I don't know -- here's -- no. Okay. So, all the questions have been answered. Dan, do you want to close it out?
Dan Jaffee: Sure. I'm always passionate about our business, but I'm not going to be falsely optimistic. This I'm sincerely optimistic is the team and I truly believe the best is yet to come. We're going to see continued growth in the next fiscal year, which starts August 1 in renewable diesel. We're going to have the Ultra Pet acquisition moving in. And we believe very strongly in the animal health business, and we'll continue to see growth there. And then, our core businesses are all doing well. So, it's a good time to be creating value from sorbent minerals. And as I've said numerous times over the years, if there's no value in sorbent minerals, you should run because that's what we focus on. But if there is, we're a great investment because that's what we focus on. I hope you all saw that we gave a larger than usual increase to our dividend, which is a further commitment and an example of our confidence in the future of the business. We usually raise it every June $0.01 a share for a quarter, $0.04 for the year, we've done that for 20 great years, 21 straight years. And now this year, we actually raised it $0.02 in the quarter and $0.08 for the year. So, we're feeling good, and we were happy we were able to finance the acquisition with zero equity and over half of it in cash. And so again, as Susan said, we still have a lot of dry powder, and we will be disciplined. But if the right deal comes along, we will certainly give it a hard look and hope to bring it in. So, thank you. We'll look forward to talking to you guys soon after the next quarter.
Operator: Thank you for your participation in today's conference. This does conclude the program. You may now disconnect. Everyone, have a great day.